Operator: Good day, and welcome to the Amtech Systems First Quarter 2022 Earnings Conference Call. Please note that this event is being recorded. I would now like to turn the call over to Erica Mannion of Sapphire Investor Relations.
Erica Mannion: Good afternoon and thank you for joining us for Amtech Systems fiscal first quarter 2022 conference call. With me today on the call are Mike Whang, Chief Executive Officer; Lisa Gibbs, Chief Financial Officer; and Paul Lancaster, Amtech’s Vice President of Sales and Customer Service. After close of market today, Amtech released its financial results for the fiscal first quarter of 2022. The earnings release is posted on the company's website at www.amtechsystems.com in the Investors section. During today's call, management will make forward-looking statements. All such forward-looking statements are based on information available as of this date, and the company assumes no obligation to update any such forward-looking statements. These statements are not a guarantee of future performance and actual results could differ materially from current expectations. Among the important factors which could cause actual results to differ materially from those in the forward-looking statements are changes in the technologies used by customers and competitors; change in volatility and the demand for products; the effect of changing worldwide political and economic conditions, including trade sanctions; the effect of overall market conditions, including the equity and credit markets and market acceptance risks; ongoing logistics and supply chain and labor challenges, capital allocation plans; and the worldwide COVID-19 pandemic. Other risk factors are detailed in the company's Securities and Exchange Commission filings, including its Form 10-K and Form 10-Q. I will now turn the call over to Mike Whang, Chief Executive Officer.
Mike Whang: Thank you, Erica. The strong demand for our products continued in the first quarter with bookings of 31.6 million up 77% year-over-year, backlog of 48.5 million up 250% year-over-year, and revenue of 27.3 million up 52% year-over-year, representing yet another record over the past three years. Ongoing logistical challenges primarily related to domestic shipments from our China facility, along with rising costs, and extended lead times continue to impact our operations. As an example, in the first quarter, we had a number of shipments going from the port of Shanghai to the Americas, where our team navigated the shipping container shortages and port bottlenecks to get our units out. But the higher shipping costs added almost $1 million to our operating expenses, creating a 320 basis point reduction of operating margins. As another example, some of our customers arrange their own freight only to experience days and weeks of delays or instant pickup at our warehouse. Our logistics and supply chain teams are actively addressing these issues. And we are including shipping surcharges where we can to help mitigate the impact. However, we would expect these trends as well as constraints in our supply chain to continue in the coming quarters until conditions normalize. These record bookings and backlog within the semi market are beginning to provide more visibility into coming quarters as it relates to our top-line performance. To place this in context in prior buying cycles, our backlog for this segment was typically fulfilled over one to two quarters with a combination of higher demand and longer lead times from our suppliers. Our current backlog is extending into the first fiscal year of 2023. We are seeing indications that customers are accelerating their purchase timeline in order to accommodate the constraints supply chain. Additionally, with the expansion of our manufacturing footprint in Shanghai, we are operating at near capacity given our current supply chain, labor, logistics and pandemic related challenges. Once these challenges begin to normalize, we will have the ability to increase throughput to even higher levels. I will now turn the call over to Paul Lancaster, VP of Sales and Customer Service.
Paul Lancaster: Thank you Mike. Within the power semiconductor market, we continue to have strong engagement with our customers as they move forward with their capacity expansion plans. underlying demand in the markets remains robust and we are seeing continuing demand not only in our leading 300-millimeter horizontal diffusion furnace systems, but also our 200-millimeter systems as manufacturers look to add capacity where they can to service end market demand. As these and other manufacturers continue to build out capacity, we continue to believe we are well positioned to capture additional opportunities as they emerge. Moving on to our material and substrate segment, in Q1, we saw an expected mix shift towards consumables as customers bring previous capacity expansions online. Within the silicon carbide wafer market discussions with customers continue to strengthen. With capital budgets now approved for the initial phase of wafer capacity expansion, quoting activity has begun to solidify with customers looking to place equipment orders this year. It is worth noting purchasing activity for these capacity expansions generally began with machine orders, given the three to four quarter lead times involved, followed by a ramping consumables once those machines are delivered and commissioned. With the scale of the industry's plan fab expansion initiatives currently underway to address the burgeoning electric vehicle industrial and communication demand forecasts in the years ahead. It is our understanding these will be large multi-year capacity expansion plans, which would be expected to roll out in phases over the next several years. Given our established market leading position and consumables two new machine platforms to expand our existing machine product line, and recently completed capacity expansion investments. We remain as excited as ever as the mid to long-term opportunities in front of us come into focus. While we are encouraged by the high-end demand across all our sub-markets, as we mentioned last quarter, we remain cautious about the ongoing market uncertainties which we do not control. industry wide challenges such as supply chain constraints, inflation, significant increases to freight costs and availability, coupled with rising labor costs in combination with labor shortages, require ongoing management and diligence. These challenges along with continuing uncertainty surrounding the global pandemic affect not only us but our customers and suppliers. Looking beyond these near term uncertainties, we strongly believe our leadership and market segments with exposure to several secular tailwinds creates a significant opportunity to drive increased profitability and shareholder value as demand accelerates and we realize the operating leverage built into our current business model. I'll now turn the call over to Lisa. Lisa?
Lisa Gibbs: Thank you, Paul. Net revenues increased 12% sequentially and 52% from the first quarter of fiscal 2021. With this sequential increase primarily attributable to strong shipments of our advanced packaging and SMT equipment, and increased shipments of our horizontal diffusion furnace. The prior year period was more heavily affected by uncertainty in the global economy because of the COVID-19 pandemic. Relative to last quarter gross margin increased in the first quarter of fiscal 2022. primarily due to a more favorable product mix. Gross margin in the first quarter of fiscal 2022 decreased compared to prior year primarily due to product mix. With increased shipments of our horizontal diffusion furnaces and our high temperature belt furnaces. Selling, general and administrative expenses SG&A increased $1.4 million on a sequential basis, adjusting for the partial insurance reimbursement for the cyber incident of $0.4 million in the fourth fiscal quarter of 2021. SG&A increase sequentially by $1 million due primarily to increased shipping and logistics costs driven by higher revenues as well as higher shipping rates for our products shipped from our Shanghai factory. SG&A increased $2.7 million compared to prior year period, due primarily to $1.1 million in increased shipping and logistics costs driven by higher revenues and increased shipping rates, $0.4 million in higher commissions on higher sales, $0.3 million in added SG&A from our acquisition of Intersurface Dynamics in March 2021. As well as $0.4 million for IT and ERP consulting legal and increased travel. Research, development and engineering increased $0.2 million sequentially and $0.3 million compared to the same prior year period, due primarily to the timing of materials used in our strategic R&D projects. Our current R&D spend at approximately 6% of revenues is higher than our historical average, with a focus on offering our customers newer technologies as well as new products. Operating income was $1.2 million comparing to operating income of $1.3 million in the fourth quarter of fiscal 2021 and operating income of $1.1 million in the same prior year period. Income tax provision was $0.2 million for the three months ended December 31, 2021, compared to provision a $0.7 million in the preceding quarter and $0.1 million in the same prior year period. Net income for the first quarter of fiscal 2022 was $1 million or $0.07 per share. This compares to net income of $0.7 million or $0.05 per share for both the first quarter of fiscal 2021 and the preceding quarter. Turning to cash, unrestricted cash and cash equivalents at December 31, 2021 were $32.2 million, compared to $32.8 million at September 30, 2021. Approximately 84% of our cash balance is held in the United States. In December, we repurchased 291,383 shares of stock for a total of $2.7 million. We continued to evaluate capital allocation priorities with our Board of Directors. And these priorities include investing in our organic and inorganic growth, improving our management information systems and returning capital to our shareholders. Today, we announced our Board of Directors has approved a new repurchase plan in the amount of $5 million details of which can be found in today's 8-K filing. Now turning to our outlook, for the quarter ending March 31, 2022, our fiscal second quarter revenues are expected to be in the range of $26 million to $28 million. Gross margin for the quarter ending March 31, 2022, is expected to be approximately 40%, with operating margin in the upper single digits. The company's outlook reflects the anticipated ongoing logistical impacts and the related delays for goods shipped to and from China. Actual results may differ materially in the weeks and months ahead. Additionally, the semiconductor equipment industries can be cyclical and inherently impacted by changes in market demand. Operating results can be significantly impacted positively or negatively by the timing of orders, system shipments, increasing shipping and logistical costs and the financial results of semiconductor manufacturers. A portion of Amtech’s results is denominated in RMBs, a Chinese currency. The outlook provided is based on an assumed exchange rate between the United States dollar and the RMB. Changes in the value of the RMB in relation to the United States dollar could cause actual results to differ from expectations. Now let's turn the call over to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions] And we will go first to Jeff Osborne of Cowen and Company.
Jeff Osborne: Good afternoon. Couple questions on my end. I was wondering if we could just touch on, Michael, you made some comments about capacity. And some of the logistics issues in Shanghai in particular. Assuming some of the COVID-related delays go on for a couple quarters here. Is it safe to say that your revenue range sort of boxed in where we are now sort of sub-30 million. And then as we look out, maybe 6, 12 months, things just start improving especially given, you mentioned on the polishing side lead times are three to four quarters. I'm just trying to understand with the moving pieces of your three segments and assuming lead times are elongated if BTU-related equipment is somewhat constrained at current levels.
Mike Whang: Hey, Jeff, good to hear from you. The issue is a little more nuanced than that. Our main challenges from our Shanghai manufacturing site is labor. And then the limitations of transoceanic shipping. We do hope and see signs of the labor situation will improve over time. As far as the transoceanic shipping limitations, I can't even fathom right now when that will get better, probably in a few quarters. You got to also remember that BTU u also manufacturers out of both Shanghai and Billerica. So there's a lot of revenue coming out of Billerica as well, for the high 10 products. So I wouldn't say there's any real major constraints in terms of our capacity. It's more outside factors that we're navigating through right now.
Lisa Gibbs: Yes. And Jeff, I would just add, I don't think we're necessarily boxed into this type of number. I think there is a chance, we could be higher than that. We are continuing to see some shifting of revenue quarter-to-quarter. And if we reach a quarter where some of that starts to clear there's definite upside there. It's really just a lot of moving parts right now.
Jeff Osborne: Make sense, I appreciate the detail there Lisa. On the 48.5 million of backlog, which is great to see. Is it safe to say the majority of that is BTU? Are you starting to see more horizontal diffusion furnace backlog growth that maybe you haven't put out press releases on?
Lisa Gibbs: There's definitely a large portion of that is horizontal diffusion furnaces, along with the rest of our products on the semi segment primarily.
Jeff Osborne: Okay. As that flows through over a few quarters with a margin trajectory be similar to what you reported this quarter. I'm just trying to see because you've had a couple 100 basis points swing as backlog flows through to revenue. How that plays out?
Lisa Gibbs: Yes. I think that's a fair statement. 40% is still what we're targeting, the mix of higher horizontal furnaces and some of our other products, the high-temp furnace could put that a little bit below, but we continue to try to keep it right around that 40% range.
Jeff Osborne: Got it. And two other quick ones. Some of your historic customers, I guess, have already started procuring equipment and rolling that out, as we see wafer starts on the silicon carbide side growing. So I just wanted to get your perspective on what you think market share is on the equipment side, relative to the polishing side, sorry, the consumable side, you highlighted the opportunity as the industry grows on the consumables. But I just want to understand in terms of the initial equipment, in particular wafer polishing, if you could touch on what you think the past 18 months have shown in terms of market share trends.
Paul Lancaster: Hey, Jeff, this is Paul Lancaster, I'll take that question. Well, as we said, right now, what we're seeing is that the budgets have been more formalized, and there is quoting activity that has begun for us. And the consumables right now represents a greater mix still. And we're still, talking and engage with these customers on the machine side, but the lead times, again, are three to four quarters out. So we probably won't see those bookings, until towards the end of the year.
Jeff Osborne: It's safe to say you don't think you've lost any share of initial equipment that maybe it's been put in? Or would your argument be that the equipment hasn't been put in and people are just still formalizing the budgets? And it's more two, three, four quarters away? I'm just trying to understand the timing.
Paul Lancaster: Yes. No, what you said the latter part of your statement is correct. We don't feel like we've lost any market share. With the consumable business, we are talking to these customers on a very regular basis and are very much involved with their planning. As you know what the supply chain lead times tend to be a little volatile right now. So we have to be engaged with them to be sure that we are going to be in time for their projected ramp times.
Jeff Osborne: Got it. Last question I had is, in your 10-K, you mentioned reference to a new single sided batch polisher. Can you just give us an update on some of the new tools? I believe in your prepared remarks, Paul, you mentioned two new tools. I was only aware of one but maybe you could just run through those at a high level.
Paul Lancaster: Okay. Yes. So we've been working as you know is invested heavily into R&D as you can tell, PR Hoffman came out with a new single side polisher, we call it the SSP 619, primarily geared towards, the compound semiconductor segment with various options and features that we research with different customer interactions and what they required at that ramps. The second tool is just the larger double side polisher called 7600. Again, with feature sets that are relevant for the compound semiconductor process, the market for the initial double side, stock polish. So those have been released. We've been running demos as we speak. And the interest has been pretty good at this point.
Operator: [Operator Instructions] And we'll go next to Mark Miller of The Benchmark Company.
Mark Miller: Thank you for the questions. These two tools you just mentioned, are there margins above corporate average currently or at corporate average?
Lisa Gibbs: Well, Mark, to be fair, we haven't announced any booked orders for those yet. So yes, we would certainly expect margin profiles in line with our averages that we have today.
Mark Miller: In terms of existing backlog is it more of a backend loaded backlog? You mentioned something this backlog was extending into the first quarter of next year.
Lisa Gibbs: I wouldn't say backend loaded. We're definitely booking especially for some of our horizontal furnaces and our high-temp belt furnaces. We're booking that out further. But I don't think necessarily backend loaded, but the shifting the nature of the shifts that is happening, it's a little bit hard to predict.
Mark Miller: Your tax rate has been jumping all over the place. Can you give us any guidance about the rest of this year in terms of what your corporate tax rate would be?
Lisa Gibbs: It certainly has, we were glad to see this quarter a lower effective tax rate as we had more income generated out of the U.S. where we have some of our net operating losses. As you can imagine, it's difficult to give you that number. But I think if we settled on a range of 25% to 30% as an average that would be my recommendation.
Operator: And with no other questions in the queue, that does conclude today's call. We would like to thank everyone for your participation. You may now disconnect.